Operator: Ladies and gentlemen, thank you for standing by. Welcome to the American States Water Company Conference Call discussing the company's Fourth Quarter and Full Year 2023 Results. The call is being recorded. If you would like to listen to the replay of this call, it will begin this afternoon at 5:00 p.m. Eastern time and run through Thursday, February 29, 2024, on the company's website, www.aswater.com. The slides that the company will be referring to are also available on the website. All participants will be in a listen-only mode. [Operator Instructions] This call will be limited to one hour. Presenting today from American States Water Company are Bob Sprouls, President and Chief Executive Officer; and Eva Tang, Senior Vice President of Finance and Chief Financial Officer. As a reminder, certain matters discussed during this conference call may be forward-looking statements intended to qualify for the safe harbor from liability established by the Private Securities Litigation Reform Act of 1995. Please review a description of the company's risks and uncertainties in our most recent Form 10-K and Form 10-Q on file with the Securities and Exchange Commission. In addition, this conference call will include a discussion of certain measures that are not prepared in accordance with Generally Accepted Accounting Principles or GAAP in the United States and constitute non-GAAP financial measures under SEC rules. These non-GAAP financial measures are derived from consolidated financial information but are not presented in our financial statements that are prepared in accordance with GAAP. For more details, please refer to the press release. At this time, I will turn the call over to Bob Sprowls, President and Chief Executive Officer of American States Water Company. Please go ahead.
Robert Sprowls: Thank you, Andrea, and welcome, everyone, and thank you for joining us today. I'll begin with some brief comments on the year. Eva will then discuss some financial details, and then I'll wrap it up with updates on regulatory activity, ASUS dividends, and then we'll take your questions. It was a very productive and positive year for the company. In June, the company's water utility subsidiary, Golden State Water Company, received the final decision from the California Public Utilities Commission, or CPUC, on its water general rate case to set rates for 2022 through 2024, as well as the decision on its cost of capital proceeding. Both decisions represent constructive regulatory outcomes and enable us to continue investing in our water infrastructure for safe and reliable water services for generations to come. The cost of capital decision adopted the authorized return on equity, capital structure, and the embedded cost of debt prospectively. It also allows for the continuation of the water cost of capital mechanism for adjusting the return on equity. As a result, Golden State Water's authorized return on equity increased from 8.9% to 9.36% effective July 31, 2023, and increased again to 10.06% for 2024 as a result of triggering the cost of capital mechanism for each year. In addition, we filed Golden State Water's general rate case in August 2023 to set new rates for the years 2025 through 2027. Filing included a request for capital investment of $611.4 million over the rate cycle. Let's briefly discuss our earnings for the full 2023 year. Recorded diluted earnings for the year increased by $1.25 per share from 2022, or $0.41 per share adjusted, which excludes favorable variances resulting from the receipt of the final decisions in the general rate case and cost of capital proceedings in June 2023 that Eva will discuss in more detail. The adjusted earnings also exclude the net favorable variance from investments held to fund a retirement plan from both years. The $0.41 per share higher adjusted earnings were largely from the new 2023 water rates approved in Golden State Water's final general rate case decision. I'm proud to report that the consolidated company earned a return on equity for 2023 of 14.1%, excluding the additional income from the adjusted items associated with Golden State Water's general rate case and cost of capital decisions. In 2023, we invested a record high $175.7 million in infrastructure at our regulated utilities and received $24.1 million in new capital upgrade awards at the military bases served by ASUS existing at the end of 2022. We are pleased that ASUS was awarded two contracts by the U.S. government in the third quarter of 2023 to operate, maintain, and provide construction management services for the water distribution and wastewater collection and treatment facilities on two military bases. The first was our first Navy contract at Naval Air Station Patuxent River, or Pax River, located in Maryland. The initial value of the contract is estimated at $349 million over a 50-year period. ASUS was also awarded a 15-year contract at Joint Base Cape Cod, located in Massachusetts. Under this contract, ASUS has the opportunity to perform work through the periodic issuance of task orders by the U.S. government for up to a maximum initial value of $45 million over a 15-year period. Both new contract awards are subject to annual economic price adjustments. We take great pride in our strong relationship with the U.S. government and their continued confidence in our expertise in managing water and wastewater systems on military bases, and we believe we are well-positioned to continue competing for new contracts in the future. In 2023, we increased our third-quarter cash dividend by 8.2%. This is our 69th consecutive year of annual dividend increases. We remain proud of our dividend history and continued growth. With that, I'll turn the call over to Eva to discuss the fourth quarter and full-year earnings and liquidity.
Eva Tang: Thank you, Bob. Hello, everyone. Let me start with our fourth quarter result on Slide 8. Consolidated earnings as recorded were $0.55 per share for the quarter as compared to $0.50 per share for the quarter of 2022. That is an increase of $0.05 per share. In last year's fourth quarter, Golden State Water recorded a decrease in earnings of $0.03 per share for revenue subject to refund based on its cost of capital filing in 2021. As a result of receiving the final decision in the cost of capital proceeding in June of 2023 that sets the cost of capital prospectively to $0.03 per share accrual recorded in Q4 2022 was reversed in the second quarter of 2023. Excluding this item, adjusted consolidated earnings for the fourth quarter of 2023 were $0.55 per share as compared to adjusted earnings of $0.53 per share for the fourth quarter of 2022, an increase of $0.02 per share. For Golden State Water, reported earnings were $0.41 per share as compared to $0.28 per share for the fourth quarter of 2022. The $0.13 per share increase includes a $0.03 favorable variance from the cost of capital decision as discussed. Excluding this item, adjusted earnings for the fourth quarter of 2022 at the water segment were $0.31 per share as compared to recorded earnings of $0.41 per share for the fourth quarter of 2023. An adjusted increase of $0.10 per share, or a 32% increase. The $0.10 per share increase largely represents the rate increases for 2022 and 2023 recorded in 2023 and higher gains generated from investment held for retirement plan. Partially offset by the effect of the cost of capital decision effective July 31, 2023, where there was a reduction in cost of debt recovered in rates, partially offset by increased to the authorized return on equity. There were also increases in operating expenses, interest expenses, and income taxes. Our Electric segment's earnings for the fourth quarter this year were $0.07 per share, which was an increase of $0.01 per share compared to 2022, largely resulting from not having new rates in effect for 2023 as we await the pending electric TRC that will set new rates for 2023 through 2026, while also experiencing continued increases in overall operating expenses and interest costs. When a decision is issued, new rates are expected to be retroactive to January 2023, and cumulative adjustments will be recorded at the time. Earnings from ASUS were $0.12 per share for the quarter, a decrease of $0.05 per share when compared to the same period in 2022, largely from timing differences of when construction work was performed throughout the 2023 year compared to 2022. Bob will discuss this in more detail later. Losses from our parent company were $0.04 per share for the quarter, an increase of $0.01 per share loss as compared to 2022, largely due to an increase in interest expenses. Moving on to next slide, consolidated revenue for the fourth quarter were consistent with the same period in 2022. Revenues for the Water segment increased by $12.6 million, largely representing the rate increases for 2022 and 2023 -- recorded in 2023, partially offset by a decrease in revenues resulting from the cost of capital decision effective July 31, 2023. In addition, while the revenues were lowered in the fourth quarter of 2022 by $1.4 million due to the recording of revenues subject to refund at the time. Electric revenue for the three months ended December 31, 2023, have remained flat compared to the same period in 2022, as new rates for 2023 have yet to be approved. For ASUS, there was a decrease in revenue of $13 million due to timing differences in performing construction work. Turning to Slide 10 and looking at total operating expenses other than supply cost, consolidated expenses decreased $9.3 million as compared to last year's fourth quarter. The decrease was largely related to lower construction costs at ASUS, partially offset by higher administrative and general expenses and other taxes. Interest expense net of interest income decreased by $2.4 million due to higher average interest rate during the quarter and increases in overall borrowing levels. Other income net of the other expense remained flat for the quarter compared to the same period in 2022. Slide 11 shows the adjusted EPS bridge comparing fourth quarter of 2023 and 2022. This slide reflects our full-year earnings per share by segment as reported and adjusted. Fully diluted earnings as reported for 2023 were $3.36 as compared to $2.11 for 2022, an increase of $1.25 per share. Included in the 2023 result was the $0.38 per share related to the impact of retroactive rates from the decision in the water generate case for the full year of 2022. In addition, as a result of the final cost of capital decision, the 2023 results include $0.13 per share related to the reversal of the estimated impact of a lower cost of debt recorded in 2022. The $1.25 per share increase also include a favorable variance of $0.20 per share from investments held to fund a retirement plan. Excluding the three items mentioned above, adjusted consolidated earnings for the year were $2.75 per share as compared to adjusted earnings of $2.34 per share for 2022, an increase of $0.41 per share. The change in earnings is largely a result of rate increases from Golden State Water and higher construction activity and increases to manage the revenue from ASUS, partially offset by overall higher operating and interest expenses across all segments. For more details on the annual results, please refer to yesterday's press release and Form 10-K. Turning to liquidity, net cash provided by operating activities was $67.7 million for this year as compared to $117.8 million for 2022. The decrease in operating cash flow was largely as a result of a decrease in built water consumption and the delayed in receiving final water TRC. However, Golden State Water has implemented new rates since July 31, 2023, and is collecting surcharges to recover retroactive amounts due to the delay beginning in October of last year. In addition, cash flow from construction related activities at ASUS decreased this year, representing timing differences of when the construction work is being performed and when the payments are made to our contractors. For investing activities, as Bob mentioned, our regulated utility invested a record high of $175.7 million on company-funded capital projects during 2023. We project company-funded capital expenditure at our regulated utility to be $160 million to $200 million this year. AWR currently maintains a credit rating of A-Stable with Standard & Poor's global ratings or S&P, while Golden State maintains a A Plus stable rating with S&P and an A2 stable rating with Moody's Investor service. These are some highest credit ratings in the U.S. investor-owned water utility industry. As we mentioned in the prior quarter, American States Waters intends to seek $150 million to $200 million of additional capital over the next three years through equity offerings, which may include in at the market program. With that, I'll turn the call back to Bob.
Robert Sprowls: Thank you, Eva. I'll take a minute here and discuss a few key regulatory matters. As mentioned earlier, the CPUC adopted Golden State Water's general rate case decision in June of 2023. Final decision issued set new rates for 2022 through 2024, authorizes a capital infrastructure budget of $404.8 million over the three-year rate cycle, adopts new operating expense levels and allows for additional increases in adopted revenues for 2023 and 2024, subject to an earnings test and changes to the inflationary index values. In August of last year, Golden State Water filed its general rate case for water rates for the years 2025 through 2027. Among other things, Golden State Water requested capital budgets in this application of $611.4 million over the rate cycle. They also requested the continuation of mechanisms to accommodate fully decoupled revenues in sales and track differences between recorded and CPUC authorized supply-related expenses. A proposed decision in the water general rate case is scheduled for the fourth quarter of 2024, with new rates to become effective January 1, 2025. Also, in June of last year, the CPUC adopted the final decision in the cost of capital proceeding to set the new cost of capital for 2022 through 2024. The decision adopted our requested capital structure of 57% equity and 43% debt, our requested cost of debt of 5.1%, and a return on equity of 8.85%. It also allows for the continuation of the water cost of capital mechanism. In addition, based on the final decision, all adjustments to rates were prospective. Golden State Water filed an advice letter that implemented the new cost of capital effective July 31, 2023. They just mentioned the decision allowed for the continuation of the water cost of capital mechanism for the period from October 1, 2021, through September 30th, 2022. The Moody's AA utility bond rate increased by 102.8 basis points from the benchmark, which triggered the water cost of capital mechanism adjustment by 51 basis points. Because the recently authorized cost of capital is prospective, Golden State Water's adopted return on equity increased from 8.85% to 9.36% and its cost of debt decreased from 6.6% to 5.1% effective July 31, 2023. Additionally for the period from October 1, 2022 through September 30th, 2023. The Moody's AA utility bond rate increased by 139.7 basis points from the benchmark, which again triggered another water cost of capital mechanism adjustment. In November 2023, the CPUC approved Golden State Water's filing to increase to 9.36% return on equity to 10.06% effective January 1, 2024. Moving on to Slide 16, as many of you know, investor-owned water utilities serving in California are required to file their cost of capital applications on a triennial basis, which means Golden State Water's next cost of capital application was scheduled to be filed on May 1 of this year for the years 2025 through 2027. However, Golden State Water, along with three other Class A investor-owned water utilities, filed a joint request with the CPUC to defer the cost of capital applications by one year, which was approved by the CPUC on February 2nd of this year. The joint request asked that the utilities keep the cost of capital currently authorized for 2024 in effect through 2025. And to file new cost of capital applications by May 1, 2025, to set the cost of debt, return on equity, and capital structure starting January 1, 2026. Golden State Water's current authorized rate of return on rate base is 7.93%, which will continue to be in effect through December 31, 2025. Additionally, Golden State Water's cost of capital mechanism will remain active through the one year deferral period. Our electric utility subsidiary filed its general rate case on August 30th, 2022, for new rates for the period 2023 through 2026. The application includes additional capital expenditures of $68.2 million for the four-year rate cycle and a new cost of capital. We have also requested the recovery of more than $22 million in capital already spent related to the wildfire mitigation plans. The new rates, once approved, will be retroactive to January 1, 2023. Turning our attention to Slide 17, we present the growth in Golden State Water's adopted average water rate base from 2018 through 2024. Golden State Water's adopted average rate base increased from $752.2 million in 2018 to $1,357.5 million in 2024. That's the compound annual growth rate of 10.3% for the six-year period. Let's continue to ASUS. ASUS contributed earnings of $0.50 per share for the full year of 2023 as compared to $0.46 per share for 2022. The increase year-over-year was largely due to an increase in management fee revenue resulting from the resolution of various economic price adjustments and an increase in construction activity, partially offset by higher overall operating expenses and interest costs. ASUS contributed earnings of $0.12 per share for the fourth quarter of 2023, as compared to $0.17 per share for the same period in 2022. The decrease largely resulted from the timing of when construction work was performed in 2023 as compared to 2022. As previously highlighted, ASUS had two contract award wins during 2023. The Naval Air Station Patuxent River contract has an estimated $349 million contract value over a 50-year period. That will be subject to annual economic price adjustment. ASUS was also awarded a 15-year contract to serve Joint Base Cape Cod. Under this contract, ASUS will have the opportunity to perform work through the periodic issuance of task orders by the U.S. government for up to a maximum initial value of $45 million over a 15-year period and is also subject to annual economic price adjustments. In September 2023, the first task order was issued with a value of $2.3 million to perform an evaluation, construction, and transition services that are scheduled for completion in 2024. As I mentioned earlier, ASUS received new capital upgrade project awards of $24.1 million in 2023 for work that will be performed in the next few years on a military basis that existed at the end of 2022. With a solid performance expected for ASUS in 2024, we project ASUS to contribute $0.50 to $0.54 per share this year, which is $0.02 per share higher than the range for 2024 that we had discussed with you during our third quarter earnings call. We remain confident that we can effectively compete for new military base contract awards based on our proven track record of managing water and wastewater-related services for military bases since 2004. I would like to turn our attention to dividends, which remains a compelling part of our investment story. Our quarterly dividend rate has grown at a compound annual growth rate of 9.4% over the last five years, from 2018 to 2023. These increases are consistent with our policy to achieve a compound annual growth rate in the dividend of more than 7% over the long term. Our strong dividend history is something the company is proud of and is a continuing asset to our shareholders. I'd like to conclude our prepared remarks by thanking you for your interest in American States Water and will now turn the call over to the operator for questions.
Operator: [Operator Instructions] And our first question will come from Gregg Orrill of UBS. Please go ahead.
Gregg Orrill: Hello?
Eva Tang: Hi, Greg.
Gregg Orrill: Oh, sorry, I'm on mute. Thank you.
Eva Tang: Okay.
Gregg Orrill: Hi, what's the schedule in the rate case? What are the milestones coming up? I know you said the proposed decision in the fourth quarter.
Robert Sprowls: Yes, I would say the big issue is we're waiting for public advocate's report on the rate case and that's, I think, due out by the end of February, and then we'll move forward there. I'm not sure hearings have been scheduled at this point. But we'll be very interested to see what public advocates have to say. And sorry, Greg. Hello?
Eva Tang: Hi, Greg.
Gregg Orrill: Yes. And so, I know one. There was sort of a controversial or non-standard recommendation by Cal advocates in the case for one of your peers. Is that kind of what you're expecting in this case?
Robert Sprowls: Well, we're not really sure. We -- it's a little strange to see a signed commissioner issue an alternate decision from the ALJ, given that commissioner is the assigned commissioner, but it's not unheard of. We hope we don't have something similar there, but we do believe that the alternate in the Cal Water case does not reflect a balanced decision, and we'd like to see the original proposed decision approved or the alternate revised. Not exactly sure why it's headed down this path. Some of the things included in the decision are things that we've had included in our prior filing. So we're watching it closely, as you can -- as you would expect, Greg.
Gregg Orrill: Okay. Thank you.
Robert Sprowls: Thank you, Greg.
Operator: [Operator Instructions] That will conclude today's question-and-answer session. I would like to turn the conference back over to Bob Sprowls for any closing remarks.
Robert Sprowls: Yes, thank you, Andrea. I just wanted to thank everybody that participated today for their participation and let them know that we look forward to speaking with them during the next quarter. Thank you, everyone.
Operator: The conference is now concluded. Thank you for attending today's presentation, and you may now disconnect.